Operator: Good day and welcome to the Q2 2014 Frontline Limited Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Jens Martin Jensen. Please go ahead, sir. 
Jens Martin Jensen: Thank you. Good morning and good afternoon to everybody and welcome to our second quarter 2014 presentation. We will follow our usual program for the presentation with Inger going through the highlights of the second quarter thereafter financial review of the quarter and after that, I will follow-up with some market comments and give some comments of the present market and our own situation. So Inger, if you could start, please? 
Inger Klemp: Thank you and good morning and good afternoon, ladies and gentlemen. And I want to review slide 4 of the presentation, highlights and transactions. Frontline took delivery of the Suezmax newbuilding, Front Ull, in May 2014. Frontline entered into a 60 million of term loan facility in June 2014 in order to part finance its two newbuildings Suezmaxes. And I think it was June on the facility in June 2014. Frontline has issued 2,865,511 new shares under the ATM program in the second quarter and further (inaudible) new shares in July. Frontline agreed with Ship Finance in July 2014 to terminate the long term charter parties for the 1999 built VLCCs Front Opalia , Front Comanche and Front Commerce and Ship Finance simultaneously sold the vessels to unrelated third parties. We expect the charter parties to be terminated in the fourth quarter of 2014. Moving down to slide five financial highlights and slide six, income statement. Frontline reports a net loss of $78 million equivalent to a loss per share of $0.81 in the second quarter 2014. This compares with a net loss of 12.1 million and the loss per share of $0.13 for the preceding quarter. The net loss attributable to the company in the second quarter includes an impairment loss of 56.2 million relating to the vacancies Front Opalia, Front Commerce and Front Comanche and a gain on the process and minority interest of 8.2 million. Net income, exchanges and losses in the second quarter was 38.2 million compared with a (inaudible) results in the first quarter. The decrease in the sales (inaudible) in the second quarter compared to the first quarter is mainly explained by a decrease in the time charter equivalent rate in the second quarter compared to the first quarter, which lead to a decrease in result on time charter basis by $43 million. The decrease in result on time charter basis led to a decrease of 13 million in cash free payment to Ship Finance and the German KGs. And a net of that was 13 million change. Moving then to slide seven income on time charter basis. Frontline’s Double Haul VLCC fleet earned $12,500 per day in the second quarter compared with $32,500 per day in the first quarter. The average for the whole VLCC fleet was about $13,900 per day in this quarter compared with $32,700 per day in the previous quarter. The Suezmax fleet earned $12,400 per day in the second quarter compared with $27,700 per day in the first quarter. Moving then to slide eight, ship operating expenses and off hire. The average OpEx for the fleet in second quarter was approximately $9,000 per day, compared to approximately $8,900 per day in the first quarter. We had one unscheduled drydocking in the second quarter compared with none in the first quarter, as you can see from the graph on the upper right hand side of the slide. As you can see from the graph on the lower right hand side of the slide, off-hire days were 62 in the second quarter compared with 22 days in the first quarter, explained by that we have more unscheduled off-hire in the second quarter. We had two scheduled drydockings in the third quarter of 2014. Moving down to slide nine balance sheet. Changes to the balance sheet end June 30, 2014 is mainly as follows. The cash has decreased by $49 million, mainly explain by newbuilding installments paid in the quarter of $41.5 million. Restricted cash in ITCL decreased by $38 million, as a consequence of the sale of the VLCC Ulysses. Vessels and equipment and vessels under capital lease decreased by $22 million, as a consequence of delivery of one-third in May offset by impairment loss on the Front Opalia, Front Commerce and Front Comanche as a consequence of termination of the long-term charter parties on the vessels and also depreciation in the quarter. Current portion of long-term debt increased by $150 million, mainly as a consequence of that $190 million convertible bond loans has been presented short-term as it is due to be repaid in the second quarter 2015 offset by repayment of debt on the sale of Ulysses. Long-term debt decreased by $190 million as a consequence of that $190 million convertible bond debt moved short-term repayments in the quarter. Obligations on the capital leases decreased by $12 million due repayments in the quarter. And equity decreased as a consequence of recorded loss in the quarter partly offset by [basing on debt repayment]. Otherwise, there were small changes to other balance sheet items in this quarter. Molding then to slide 10, the cash cost breakeven rate. The estimated average cash cost breakeven rates for the remainder of 2014 are approximately $24,000 per day for VLCCs and $17,800 per day for the Suezmaxes. These rates are the daily rates our vessels must earn to cover budgeted operating costs and drydock, estimated interest expense, payable at hire and corporate overhead costs. And the breakeven rates exclude CapEx and ITCL vessels. Moving then to slide 11, newbuilding overview. As of June 30, 2014, Frontline’s newbuilding program comprised one Suezmax tanker with expected delivery in the fourth quarter 2014 and the company was committed to make newbuilding installments of $41.5 million expected to be paid in the fourth quarter of 2014. Moving then to slide 12, the Frontline fleet. The number of vessels in the Frontline fleet currently counts 46 vessels including the vessels of commercial management and ITCL vessels and is compounded by 29 double hull VLCCs and 17 double hull Suezmaxes. With this, I’ll leave the word to Jens again.
Jens Martin Jensen: Thank you, Inger. We are now on slide 13. A disappointing quarter I think is the best way to describe it. With reduced crude demand in the Asian markets mainly due to refinery overhauls shifted the market balance back in the charterers’ favor. The third quarter has come off to a good start and we hope the market will give us further strength as we head into the autumn and winter season. Now we've slide 14 the VLCC fleet, as we have mentioned before, more scrapping is needed to sustain this order book but we saw a fairly balanced fleet development in the quarter which is positive. Slide 15, the Suezmax fleet, we actually saw a negative fleet growth which -- negative fleet development in the Suezmax segment in the second quarter and the limited order book makes this segment interesting. Newbuilding prices and time charter rate on slide 16. Newbuilding prices has flattened out and we estimate depending on the specific and the final specification that newbuilding prices for VLCCs should be in the region of 96 million to 97 million and for Suezmax around 65 million to 67 million. Recently the time charter activity for VLCCs and Suezmax has increased mainly for periods up to 12 months, but in general terms the rates and owners optimism has increased and estimated rates for three year time charter periods for VLCC is now in the low to mid 30,000s and around 25,000 for Suezmax tanker. A positive trend is under development. If you now go to slide 17, outlook the market for the first six months of the year has been volatile, but improved compared to 2013. The second half of 2014 is looking more interesting and with the increased ton-mile situation on both VLCC and Suezmax segments and the order fleet development, this market could very well tighten further. The low points in the chartering markets could be avoided with better chartering qualities by the owner ship base is very fragmented, so it's not that easy. Regarding ourself, despite the improved tanker market, we have seen so far in the third quarter which could very well continue into and over the winter market. We are still facing with a very challenging situation when it comes to our debt situation. We and our Board are proactively working on this and we are considering various alternatives such as raising further equity and potential asset sale. A full restructuring of the company is also being considered. With that, we're now ready to take your questions. Thank you.
Unidentified Company Representative: Daniel, we can take questions now.
Operator: Thank you, sir. (Operator Instructions). We can now take our first question. It comes from Jon Chappell of Evercore. Your line is open, sir. Please go ahead.
Jon Chappell - Evercore: Thanks, operator. Good afternoon guys.
Jens Martin Jensen: Hi.
Inger Klemp: Good afternoon.
Jon Chappell - Evercore: A couple of clarification questions from the fleet development. So first of all, with ITC and their bankruptcy, you mentioned you're going to deconsolidate the Windsor Group from the financials in the third quarter, is that just the vessels associated with those bonds or is that the entirety of ITC that you're going to deconsolidate from Frontline's financials?
Inger Klemp: Those are the vessels which are related to the Windsor Group.
Jon Chappell - Evercore: Okay. And you expect them to come out, you said in November or emerge from bankruptcy in November, would you reconsolidate everything then starting in the middle of the fourth quarter?
Inger Klemp: We will deconsolidate from the third quarter as we state in the press release.
Jon Chappell - Evercore: You will deconsolidate in the third quarter but once they emerge then you reconsolidate them or they completely deconsolidated [from it]?
Inger Klemp: I didn’t get what you meant now.
Jon Chappell - Evercore: You are deconsolidating them so you are taking those out of your financials, but once it emerges from bankruptcy, do you ever put them back into your financials or are they permanently deconsolidated?
Inger Klemp: No I assume they will be permanently deconsolidated, yes.
Jon Chappell - Evercore: Okay. And then on the Chevron vessels as well, can you just explain the financial impact of that what’s the amount of the outstanding term Notes?
Jens Martin Jensen: I don’t think we can - I think it’s too early to say that, I think we can probably have that in the separate column yes.
Jon Chappell - Evercore: Okay. The last thing that I wanted to talk about was the options set before you, you have talked about equity you are selling assets are complete restructuring and then if you read the Frontline 2012 press release they talk about several structural alternatives, as you look at the alternatives for Frontline Limited is there something that can be done with the Frontline 2012 or does it need to be completely independent of that relationship?
Jens Martin Jensen: There is alternatives we are looking at. And I can’t really give you any specifics there right now.
Jon Chappell - Evercore: Okay. And then finally just on the asset sales, is there a market for some of the older ships or would the assets sales have to include the two new-built Suezmaxes?
Jens Martin Jensen: It could be the two, it would be the most natural thing would be the two Suezmaxes, but there could be some other things on the fleet but the most natural thing will be those two Suezmaxes, yes.
Jon Chappell - Evercore: Okay, thanks for your help Jens, thanks Inger.
Jens Martin Jensen: Thank you.
Inger Klemp: Thank you.
Operator: Thank you, sir. We can now take our next question; it comes from [Vlad Jelisavcic from Bowery Investments]. Your line is open. Please go ahead.
Unidentified Analyst: Good afternoon. Few questions here, you mentioned that you took out a new $60 million term loan secured by the two Suezmaxes. Could you have borrowed more; I mean why was it limited to just $60 million number?
Inger Klemp: Well, I think it still is a kind of profitable amount of debt related to Suezmax. So, I guess that's more in line where with the market is now.
Unidentified Analyst: So, 60 secured by both new builds, correct?
Jens Martin Jensen: 30 million.
Inger Klemp: 30 million each vessel then. So basically I guess, if you say that the market value is around 60 whatever then it’s 60% financing.
Unidentified Analyst: Right, okay. And the first Suezmax that was delivered in May, is it working, is it on charter currently?
Jens Martin Jensen: It’s in the spot market, yes, it's just…
Unidentified Analyst: It’s in the spot, okay. And then just a question going back to the remaining commitments. So, you paid $41 million cash in the second quarter for the delivery of the first new vessel that was delivered May 19th, and then you gave another $41 million commitment to the second delivery in September?
Jens Martin Jensen: That's correct, it’s going to be later than September, but that's correct.
Inger Klemp: The fourth quarter is what we are expecting now.
Jens Martin Jensen: Yes.
Unidentified Analyst: Understood, okay. Thank you.
Jens Martin Jensen: Thank you.
Operator: Thank you, sir. We can now take our next question. It comes from Erik Stavseth of Arctic Securities. Please go ahead sir. Your line is open.
Erik Stavseth - Arctic Securities: Hi guys. One quick question from me, it refers to the Ship Finance notes that you have taken on for the past two quarters. Are those notes senior to the convertible or whether that place in -- what’s the place in the capital structure?
Inger Klemp: Same, equal.
Erik Stavseth - Arctic Securities: Is that equal to the [CD]?
Inger Klemp: Yes.
Erik Stavseth - Arctic Securities: Okay. Thank you.
Inger Klemp: Thank you.
Operator: We have no further questions at present. (Operator Instructions). Thank you. We have a number of more questions now. The next question comes from John Reardon at Merriman Capital. Please go ahead sir.
John Reardon - Merriman Capital: Good afternoon. Does Frontline still have their shareholding in Frontline 2012?
Jens Martin Jensen: Yes.
Inger Klemp: Yes.
John Reardon - Merriman Capital: And is that approximate value still around $70 million?
Inger Klemp: No, it’s higher. It’s more than that, around $90 million.
John Reardon - Merriman Capital: Okay. So, that could be one of the options to access some cash going forward, is that correct?
Jens Martin Jensen: That’s correct.
Inger Klemp: One of the alternatives, yes.
John Reardon - Merriman Capital: Okay. Thank you.
Inger Klemp: Thank you.
Jens Martin Jensen: Thank you.
Operator: Our next question comes from [Galia Velim of GLG]. Please go ahead.
Unidentified Analyst: Hi, thank you very much for taking time to have this call and answer our questions. Just could you elaborate a little bit more on the different options in financing of convertible bond and your timing sort of when do you think you can decide that you need to engage with the bondholders rather avenues to this, become impossible?
Inger Klemp: I think it's a bit pre-mature to comment more on that now. I think we'll get back to that when we have complete detail in that respect.
Unidentified Analyst: And when will be that?
Inger Klemp: As I said, we're really (inaudible) when we have something to tell.
Unidentified Analyst: And you cannot make any comments on different options you're exploring and how far you are in terms of reaching some kind of financing?
Jens Martin Jensen: It depends on the overall solution, we go for and then that will be communicated when that is ready.
Unidentified Analyst: Okay.
Jens Martin Jensen: Thank you.
Operator: Thank you. We now have a follow-up question from [Vlad Jelisavcic] of Bowery Investments. Go ahead there sir.
Unidentified Analyst: Thanks, just one follow-up. The notes that will be issued as a result of the lease unwind we obtained that the 10 million cash damages and then issuing a note, will that also have the same priority as the convert?
Inger Klemp : Yes, we just answered that question. So…
Unidentified Analyst: Okay. What show whether related to the same note.
Inger Klemp: Yes.
Unidentified Analyst: Okay, okay. And then just one other follow-up that I didn't really understand, but there is an asset that you have in your balance sheet investment in finance lease, I believe in the March quarter this carried about 48 million, can you describe what that is?
Inger Klemp: It's a vessel which I say on the [charter], so that's the way you record it.
Unidentified Analyst: Oh, it's a single vessel?
Jens Martin Jensen: Yes.
Inger Klemp: Yeah. It's one a vessel.
Unidentified Analyst: Okay. It's a one vessel and the equity is owned by Frontline.
Jens Martin Jensen: That's right.
Inger Klemp: That's correct.
Unidentified Analyst: Okay. But as subject to a long term lease?
Inger Klemp: That is also correct.
Jens Martin Jensen: Yes.
Unidentified Analyst: Okay. Thank you for that clarification.
Jens Martin Jensen: Thank you.
Inger Klemp: Thank you.
Operator: (Operator Instructions). At the moment, we have no further questions. Thank you.
Jens Martin Jensen: Okay. I would like to say thank you to everybody for dialing in and listening to our presentation. And I would like to thank everybody in Frontline for the work and efforts. Thank you very much. Thank you.
Operator: That does conclude the conference call. Thank you for participation. Ladies and gentlemen, you may now disconnect.